Operator: Good day, ladies and gentlemen, and welcome to the Team Inc. Fourth Quarter Earnings Conference Call. My name is Sue, and I will be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would like to turn this call over to Mr. Phil Hawk. Please proceed, sir.
Philip J. Hawk: Thank you, Sue, and good morning, everyone. Again it's my pleasure to welcome you to the Team web conference call to discuss recent company performance. Again, my name is Phil Hawk, and I'm the Chairman and CEO of Team. Joining me again this morning is Mr. Ted Owen, the company's Executive Vice President and Chief Financial Officer. Again, the purpose of today's conference call is to discuss our recently released financial results for the company's fourth fiscal quarter and full fiscal year ending May 31, 2012. As with past calls, our primary objective is to provide our shareholders and potential shareholders with an enhanced understanding of our company's performance and prospects. This discussion is intended to supplement our quarterly earnings releases, our filings to the SEC; as well as our annual report. Ted will begin with a review of the financial results. I will then follow Ted with a few remarks and observations about our performance and prospects. And then following these remarks, we'll take questions from our listeners. With that, Ted, let me turn it over to you.
Ted W. Owen: Thank you, Phil. First, as usual, I want to remind everyone that any forward-looking information we discuss today is being provided in accordance with the provisions of the Private Securities and Litigation Reform Act of 1995. We've made reasonable efforts to ensure that the information, assumptions and beliefs upon which this forward-looking information is based are current, reasonable and complete. However, a variety of factors could cause actual results to differ materially from those anticipated in any forward-looking information. A description of those factors is set forth in the company's SEC filings. Accordingly, there can be no assurance that the forward-looking information discussed today will occur or that our objectives will be achieved. And we assume no obligation to publicly update or revise any forward-looking statements made today or any other forward-looking statements made by the company, whether as a result of new information, future events or otherwise. Now with that, onto the financial results. First, let me report the results for the fourth quarter. Revenues for the quarter were $188 million, up 16% from last year's quarter. Adjusted net income available to shareholders was $14.8 million, up 37% and adjusted earnings were $0.71 per diluted share, up 34% from the $0.53 per share reported in last year's quarter. Excluded from adjusted earnings, and as we discussed in the press release, we incurred a $1.7 million nonrecurring, noncash charge in the quarter to write-off previously capitalized development cost related to a planned new headquarters manufacturing, equipment and training facility that was to have been constructed on a 50-acre tract of land that we own in Houston. Those of you who have followed us for a while will recall that we suspended development activity on the site in 2008 as a result of the recession. We have now decided not to pursue the development of the land. Instead, our existing corporate headquarters in Alvin, Texas will be repurposed as a technical center for training, engineering, manufacturing and operation support, and we will relocate our corporate office to a leased commercial office space in Sugar Land, Texas which is another suburb of Houston. We expect to complete the corporate relocation by the end of this year, 2012, and to have completed the construction and remodeling activities in Alvin by the end of 2013. We now expect to spend about $5 million for the re-purposing of existing space at our Alvin location, as well as for the corporate office lease in Sugar Land, as opposed to the $25 million that was originally planned for the facilities on the 50-acre site. We have placed the 50-acre site for sale now and expect the proceeds from that sale to more than fund our revised capital plans for the Alvin and Sugar Land facilities. Shifting now to the full year results. Total revenues for the year were $624 million, up $116 million or 23% from the prior year. Adjusted EBIT or operating income for the year was $57.3 million, an increase of 33%. Adjusted net income available to shareholders was $34.5 million, up 37% over last year. And adjusted earnings per share was $1.67 versus $1.26 last year, an increase of 33%. Another record year for Team in both revenues and earnings. Now with respect to cashflow-related items. Capital expenditures for the year were $24 million, which includes $5.7 million expended for operations facilities. Depreciation and amortization was $17.5 million, and noncash compensation expense was $4.4 million. Additionally, as we had previously reported in the second quarter, we spent $19.4 million for 2 small acquisitions. Adjusted EBITDA for the year was $79 million, up 26% from last year. And at May 31, our total debt was $86 million, cash was $23 million, and thus, our net debt was $63 million. Our net debt to EBITDA at May 31, was 0.8:1 even after considering the additional debt added for the aforementioned acquisitions and the natural growth in working capital that occurs during the fourth quarter turnaround season. And so with that, Phil, I will turn it back to you.
Philip J. Hawk: Thanks, Ted. Now I would like to provide some additional perspectives on our recent performance and outlook. As I have done in past year-end earnings conference calls, I will briefly touch on fourth quarter performance, and then direct the bulk of my comments to our performance and progress throughout the entire year. This reflects our belief and philosophy that our longer-term performance trends are more meaningful indicators of our overall progress than our results, strong or weak, in a particular quarter. I'll then wrap up with a few comments about our expectations for the current fiscal year 2013. Wow. As Ted indicated, Team finished our fiscal year with a flourish. We achieved record financial performance in a number of areas. Our revenues, operating profit and adjusted net income were all the best quarterly results in Team's history. Our growth this quarter is particularly noteworthy because we are comparing against a very strong record performance in the prior year fourth quarter period. Ted indicated Team's fourth quarter revenues totaled $188 million, quarterly revenue growth was about $26 million or 16%. From a service line perspective, we achieved double-digit growth in all of our major service lines segments, inspection services and assessment, turnaround services and online services. From a geographic perspective, the growth was concentrated in the United States, reflecting the presence of major projects in Canada and our rest of world regions in the prior year fourth quarter period. Operating profit for the quarter increased $5.5 million or 30%. Operating profit, as a percentage of revenues was 12.9%, up 1.3 percentage points from the prior year quarter. The primary driver of this margin improvement was improved gross margins due to slight improvement in job mix, good indirect cost management and volume leverage. Overall, we are obviously pleased with our performance in the quarter. Let's now shift to a more extensive discussion of our full year performance. I'm pleased to note that many of the themes are very similar. Team achieved record performance in virtually every aspect of our business. As Ted indicated, overall revenues for Team during the year were $624 million, an increase of $116 million or 23% greater than last year. Approximately, $16 million of that growth was related to the acquisitions either during last year or this year. The remaining $100 million in revenue growth was the result of -- excuse me, was the result of organic business development or expansion. Our overall growth during the year was broad-based across service lines, geography and customers. Looking at our growth from a service line perspective, our business in every service line increased last year. Inspection and assessment service revenue grew approximately 28%. Currently, these services represent about 40% of Team's total business. Turnaround service revenue grew approximately 21%. Currently, these service lines represent about 35% of Team's total business. Online mechanical services grew approximately 10%. These legacy service lines for Team currently represent about 25% of our total Team revenues. Looking at our growth from a geographic perspective, we also enjoyed strong growth in all regions. U.S. business grew about 21%. Canadian business grew about 22%. European business grew about 30%. And our business in the rest of the world, including Asia and central and South America grew more than 40%. Our business is also broad-based from a customer perspective. We are delighted to have developed significant relationships with virtually all the major energy companies, as well as the leading companies in other industries we serve. However, no single relationship represents more than 5% of Team's total business. No single plant facility, the level at which most service decisions are made, represents more than 2% of Team's total business. I'm pleased with and proud of this business growth and development by my Team colleagues. In my view, there are a number of factors contributing to this performance. First, in a service business such as ours, everything begins with outstanding service and support to our customers. A very high percentage of our business is repeat business for existing customers. We understand that, that next service opportunity is earned with each current service job. I'm proud of my Team colleagues and their commitment to our customers. Every 1 of our 3,800 Team members has the opportunity to be a difference maker for our customers and our company. Our growth, both this year and over the past decade, reflects our outstanding service performance. Second, we enjoyed a bit of a market tailwind this year, as it relates to major turnaround projects. Our project activity on the Gulf Coast, West Coast and Canada reflected very busy turnaround schedules in those regions. Third, we keep expanding our capabilities. In the past year, we have significantly expanded our business in dial service capabilities, facility, mechanical integrity programs, guided wave inspection services, expanded heat exchange or repair services beyond the Gulf Coast, expansion of the insert valve product offering, new coding and structural composite service capabilities. And we enjoyed exciting growth and expansion of Quest Integrity Group capabilities in a number of areas, including newly developed and introduced in-line inspection tools for the 16-inch to 24-inch diameter pipelines, expanded pipeline project management capabilities and pipeline integrity programs. And expanded tank inspection and assessment programs, in conjunction with other Team units and the launch of new HYDRA UT [ph] inspection capabilities for piping systems within both refining and petrochemical facilities, as well as with both nuclear and fossil power facilities. Finally, Team continues to benefit from long-term procurement consolidation trends by our customers. Put simply, larger customers increasingly prefer to work with fewer, larger, more professional service providers when it is appropriate. This represents a natural advantage for the larger multi-service line geographically broad-based service companies such as Team. Approximately 35% of our total business is currently derived from our multi-service line, multi-plant, MSA agreements with our customers. Despite our sustained growth over many years, our industry remains highly fragmented. This will remain an advantage for Team for many years to come. To summarize, the key driver of Team's attractive business growth is not just one thing. It reflects a fundamentally good strategic position in an attractive market, great service performance and execution, and a continuing expansion of our capabilities in related areas. Let me wrap up my discussion of our performance with this final comment. For the year we've just completed, the revenue growth, operating profit growth and earnings per share growth rates were 23%, 33% and 33%, respectively. For the 13-year period between fiscal year 1999 and the recently completed fiscal year 2012, the compound average annual growth rates for revenue, operating profit and earnings per share were at 21%, 29% and 36% respectively, virtually identical to this year's growth rates. We are proud that we have sustained consistent and attractive business growth over the long term. Our growth isn't based on just one thing and our growth isn't based on just one good year either. And our outlook remains bright. We continue to see attractive growth opportunities in virtually every area of our business. Let's now shift to the year ahead. We expect to continue to build upon the strong business momentum we have generated in the past. As has been our practice for the past several years, we will provide full year guidance that we will review and update as appropriate on at least a quarterly basis. For our fiscal year 2013, ending May 31, 2013, we expect total Team revenues to be in the range of $680 million and $700 million. We expect our full year earnings to be in the range of $1.85 to $2 per fully diluted share. I also remind those of you modeling quarterly Team results to be mindful of the significant seasonality in our business. Please note that a disproportionate share of our total annual earnings will likely occur in our second and fourth fiscal quarters. Let me wrap up my remarks with a couple of final comments before we take your questions. All of us at Team are proud of our company and our performance track record. Looking ahead, our outlook and opportunities are as attractive as they've ever been, yet we can never rest on our laurels. To realize the growth opportunities available, we need to continue to stay focused on the basics of our business. These are providing great service with every service opportunity, continuing to capitalize on our service network advantages, creatively expanding our service capabilities and the value we can deliver to our customers and conducting our business all of the time in all activities in a manner that fosters pride from all Team colleagues and respect from our customers. In our view, that is how great organizations are built and sustained. That concludes my remarks. Let's now open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Arnold Ursaner from CJS Securities.
Arnold Ursaner - CJS Securities, Inc.: When you had provided your revenue guidance in April, you exceeded it by almost 4%. With hindsight, what drove it and did you in fact borrow some business from Q1 in Q4?
Philip J. Hawk: I think we just had a very active project activity in the quarter. And no, I don't think we actually pulled forward, but I mean as always, it's just the timing of projects. As we've talked, Arnie, it's -- candidly, we're just not that good at estimating the precise timing of individual projects.
Arnold Ursaner - CJS Securities, Inc.: Okay. And my follow up, a separate question for Ted. How should we think about SG&A in the upcoming year? You had quite a few one-time items that impacted Q3 SG&A and the number this quarter was substantially higher than we had modeled. How should we be thinking about it, or first of all, was there anything specific in Q4 SG&A and more importantly, how should we think about it for the upcoming year?
Ted W. Owen: No. I think Arnie the -- going back to the third quarter for a second, we identified about 3 items that were kind of nonroutine, nonrecurring and indeed, that was true that they did not recur and so you should carve those out, if you will, for 2013. The increase in SG&A in the fourth quarter is largely attributable to how we account for incentive compensation expenses. As you recall, we accrue incentive compensation fundamentally as a reflection of operating income. So when there is a obviously in Q2 and Q4, SG&A will increase simply by virtue of the large spikes in incentive compensation. On a year-to-year basis though, that's not going to be a significant factor. Certainly, in the fourth quarter, we added some business development personnel that -- and frankly, it reflected in revenue generation in the quarter as well. So I think kind of -- the traditional on an annual basis percentages that you have seen in the past or -- will continue to be true. We continue to expect to get good operating leverage particularly from SG&A, as we grow revenue. So the operating leverage that we talk so much about, kind of our modeling of 20% leverage or our revenue growth is generally in the SG&A line and not so much in the gross margin line.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: Okay. In respect to your keeping the one question and a follow-up, I'll stop and come back later.
Operator: And your next audio question comes from the line of Rich Wesolowski, Sidoti & Company.
Richard Wesolowski - Sidoti & Company, LLC: Your May quarter looked a lot like the May quarter as you reported before the recession and I was hoping you would offer a high level view of the differences between your customers today, your business today, and back then, specifically with regard to the types of projects that customers are letting, the competitive climate you face and perhaps, the different service lines you're able to pitch?
Philip J. Hawk: I think the many, many aspects of our markets today are similar to, I'm going to say, prerecession periods in the sense that maintenance activities are normal. And they're kind of broad-based. And as we've all talked about before is that when you're operating in the facilities that we serve, mother nature creates a need for maintenance, and that's what we're seeing. I'd just say, what's different on the negative side is that, back and before the downturn, we had a tremendous level of expansion of facilities taking place, particularly up in the tar sands and also really in the lower 48 as well, in terms of expansion of facilities. We are beginning to see the return of expansion projects in the Canadian tar sands. But the intensity of the activity just across the board, the level of common new facility growth is not nearly what it was kind of in the -- kind of, if you will, boom times or kind of right prerecession times. I would say just more generally though, other segments are very strong in the U.S, in our markets. So the petrochem pipeline areas continue to be good markets. It's not that they weren't before, but I think it's noteworthy that I think the fundamentals for those segments are quite good. What's different for Team is I think we're operating tighter than we were pre-bill, just the whole experience has kind of tightened up our operation. I think we're -- our quality metrics and performance metrics are better today than they've ever been, so we're proud of that. And I think the extent and the range of our capabilities, both geographically but importantly within service line breadth is significantly greater today than it was back in 2008.
Richard Wesolowski - Sidoti & Company, LLC: The last time I recall hearing your direct margin was about 150 basis points below where it was before the recession, is that still the case or have you recouped some of that?
Ted W. Owen: No. That's still the case. It's really, we were -- our direct margin for the year was virtually flat with the prior year.
Richard Wesolowski - Sidoti & Company, LLC: So you suspect that Team can record a record operating margin and something better than when the market was probably better for what you do or at least labor was a lot tighter without the help of pricing?
Philip J. Hawk: Yes.
Operator: And your next audio question comes from the line of Adam Thalhimer, BB&T.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Phil, you mentioned that you enjoyed or you benefited from strong turnaround activity in fiscal '12, I'm just curious what your outlook would be for that business in fiscal '13?
Philip J. Hawk: It's going to be good. I think -- what I think I said is we did have an overall kind of a good year. I think West Coast, for example, was noteworthy, it was very heavy kind of turnaround schedule in the West Coast. But we see lots of turnarounds coming really a good solid fall and we're hearing rumors of a really big spring turnaround season. So it's going to be normal. It's going to be good.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Great. And then I wanted to ask more broadly, what -- I know the press release entered a quarter about this on the pipeline integrity side of your business, what are your capabilities broadly speaking in that business right now? And what does the addressable market for that look like right now?
Philip J. Hawk: Well, let's talk about our capabilities first. We have many of our service lines are applicable to the kind of maintenance of pipelines. On the inspection side, we have the in-line inspection tools from Quest. We have the, just the prove up inspection capabilities and activities of our, I'm going to say, NDE inspection services of our TCM division, within the -- not within Quest, but within the TCM division. We have line isolation hot-tapping capabilities in our mechanical services area. They all relate to pipeline maintenance. The small acquisition we made last year, and it kind of provided us our initial cadre of, I'm going to say, pipeline project management kind of personnel to kind of work with customers and kind of coordinating overall and integrating overall maintenance projects that include, not only our services, but other services. And we see many opportunities to kind of provide more of a turnkey-type service support to our pipeline customers through those kinds of capabilities. So that's an exciting expansion of our opportunities. Honestly, Adam, it's so huge that it's -- we don't even think about it. It's a very small part of our business right now, but it's billions of dollars and we're just trying to get a little of cupful right now and learn from that and then let it evolve as it will.
Operator: And your next audio question comes from the line of Matt Tucker, KeyBanc Capital Markets.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: Could you give a little more color around your outlook? And you mentioned the fall strong -- solid fall turnaround season, but are there any end markets in particular that are stronger than others, and any areas where you've seen customers pulling back at all?
Philip J. Hawk: I don't have a lot more color than I've already provided, just in terms of I think the best color is to look historically kind of where our growth rates have been and one of the things -- the key theme I would just say is that we're seeing a lot of good things happening in a lot of areas. I don't see any real points of stress in our -- among our customer groups at this point in time. Refining margins are pretty good. Our activity levels seem to be pretty good. Petrochem are expanding because of the some of the shale gas liquids, we've talked about that before. Pipelines have a lot of project activity going. I mean the one just overhang generally is that we have a lot of global economic uncertainty. Obviously some huge government policy issues that have not yet been resolved as it relates to kind of where are we going as a country going forward. All of those have the potential to be disruptive, but as of this time, I think things look pretty normal and we would expect that kind of a mix of business not a whole lot different than we've seen historically.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: Great. And then when I look at the growth implied by the midpoint of your revenue guidance, relative to the midpoint of your EPS guidance, it implies margins that are a little flatter than I would expect given the operating leverage within your business. Is there anything about the mix next year or about your outlook that would limit your ability to capture that kind of operating leverage that you have historically?
Ted W. Owen: I think, Matt, you're giving us too much credit for precision. I think our basic view of our forecast is not dissimilar than what has been historically. It's just because either we don't see everything, we kind of estimate about our double-digit revenue growth rate and we kind of estimate approximate historical operating leverage on that growth. And that's really all we intended to communicate. Any more precision, we just don't have it.
Operator: And your next audio question comes from line of Matt Duncan, Stephens, Inc.
Matt Duncan - Stephens Inc., Research Division: The first question I've got, Ted, looking at the gross margin in the quarter, that stood out. You're up 220 basis points year-over-year and you guys walked through a little bit in your prepared comments behind what drove that. Did you see job margins get any better? Is pricing changing or was this really just a function of some of the higher margin mix making up more of your revenue?
Ted W. Owen: I think it really is just a mix effect, Matt, and it really runs to the heart of why you got to look at broader, longer periods than quarters. We were disappointed in margins in Q3 and really spent a lot of time talking about those. We had a bounce back in Q4. But truthfully, it's just kind of the mix of projects and jobs and certainly, a blend of some higher end services in there. But I would look more at the margins for the year rather than the particular margins in the quarter.
Matt Duncan - Stephens Inc., Research Division: Yes, and so to help us, Ted, maybe think through the margins by service line just as a refresher, it's -- the legacy services were a bit lower margin and the more advanced inspection type stuff is the higher margin end of the spectrum, correct?
Ted W. Owen: Not at a gross margin line necessarily, Matt. And in fact, indeed at kind of an operating margin line, we don't think there's a lot of difference in the services. Some of the legacy services for instance like leak repair actually has a very high gross margin because there's a lot of equipment and clamps and closures that are associated with it, with the labor. But we don't -- and clearly, on the advanced inspection side, those are clearly higher individual margin service offerings. But again, we think of it more broadly at an operating margin. There's not a lot of difference in our services. Some have more SG&A support than others and some have higher perhaps job margins than others, but on a blended basis, it's equal.
Philip J. Hawk: I think the other thing that can affect gross margin numbers is the nature of the projects. If you have very significant remote projects where you have significant, I'm going to say residence cost or kind of personnel housing occupancy cost that are really just pass through at cost or cost plus a very small, kind of administrative markup, that will affect kind of if you look at total revenue, it will affect kind of the margin percentages a little. And I think that can -- if you're comparing just a quarter to a quarter, that difference can be a point here or there.
Matt Duncan - Stephens Inc., Research Division: Okay, so that make sense because Canada last year with the Horizon explosion, you had obviously a remote project that was a big piece of the revenue, so maybe that's -- yes, explained the mix some. Okay. And then last thing for me, turnaround season looks like it was very strong. I think last year, it was a bit unusual in that it continued into June. Did something similar happen this year, or was it more of the usual sort of Memorial Day cutoff? And then how did the first couple of months in the August quarter look year-over-year relative to the strength you guys had in that quarter last year?
Philip J. Hawk: I don't think it was -- it's good. We're off to a good start for the year is what I'd say. I think that some of the aspects of the season last year, they're a little different this year, but we're pleased with our start of the year.
Operator: And your next audio question comes from the line of Justin Richardson [ph], Stephens, Inc.
Unknown Analyst: The only question I had is on, and I know Europe, it's a small piece of your business now, but I guess, could you just talk a little bit about that market and just what you're hearing from customers just generally there?
Philip J. Hawk: Well, we serve the same type of customers in Europe, we're talking about, that we do in the North America. There's some slight expansion in terms of kind of the -- kind of some of the heavy industrials related to marine activity, it's a little heavier in Europe for us than it would be in the U.S. But the biggest customers that are over there are going to be refining petrochem power type customers and not withstanding what you read in the paper, they're still running. The lights are still on, and we're principally a Northern Europe company with kind of Belgium, the Netherlands, U.K., and business is fine. So we're focused on just being a little bit better and getting our fair share of that. So I think that's what is reflected in our growth is that our business is small, but growing. And we are pleased with our position.
Unknown Analyst: Got you. And then I guess the same question, in terms of rest of the world, like it's where you -- where are you seeing the most strength?
Philip J. Hawk: Well, I just say where we are. We're not everywhere in the rest of the world. Our presence in the rest of the world is really kind of roughly equally kind of in 2 areas. We're in the central South America. We have kind of service operations along the top of South America, so we're in Venezuela, Trinidad, Surinam, Colombia, Mexico, I guess that's really North America. And then the other would be in Asia. We have kind of 2 kind of pockets of kind of presence and strength where -- through the Quest group, we have a significant presence in New Zealand and Australia. And then mechanical services, we have kind of a nice presence in Singapore, kind of serving not only Singapore but some of the related near area, countries, regions, service areas kind of nearby Singapore. So that's kind of where we are.
Unknown Analyst: Okay. And then just in terms of the market particularly in the U.S. you talked about. It's obviously a very fragmented margin. Just over the next few years, do you see yourself as more taking market share or becoming more of a consolidator as Team grows and becomes a larger company?
Philip J. Hawk: You mean via acquisition?
Unknown Analyst: Correct.
Philip J. Hawk: I think if you look at our growth rate -- we think our growth rate for the last decade has been, in the order of magnitude, of 5x the growth of the market.
Unknown Analyst: Right.
Philip J. Hawk: Our acquisitions represent about 1/3 of our total revenue growth over that time period, so 2/3 were organic. I wouldn't use the word consolidator because consolidator sounds like what we're doing is -- I think of consolidation strategy is buying up companies and stripping out costs and kind of efficiency game, and that is not our focus at all. Our focus is growth. So we buy companies to extend our capabilities, either geographically or service line standpoint so we can leverage that presence and capability across our network. And that's kind of I think what we'll continue to do is look -- there will be -- I would expect there'd be additional acquisitions, but they would be along those lines, not for the purpose of consolidating or taking out competitors.
Operator: And your next audio question comes from line of Rich Wesolowski of Sidoti & Company.
Richard Wesolowski - Sidoti & Company, LLC: How many -- if you didn't mention it already, how many techs did you have at year end and what would be your forecast for the change in fiscal '13?
Ted W. Owen: We had 3,800 employees in total or Team colleagues. I don't know how many of those were technicians, probably 3,200, 3,300 something of that order of magnitude. I don't have a real forecast. We'll just -- because we hire them on a decentralized basis, I'd -- given our growth, I'd expect we'll have more. That there will be continual hiring across our network, what we kind of watch or manage is labor utilizations, so we're, as all of our managers do, so they're mindful about not getting way ahead of themselves in terms of hiring, but we've been a consistent hirer for years and would expect to continue to do so.
Philip J. Hawk: Yes, Rich, just some perspective around that, for the full year, we added about 400 full-time employees, point-to-point from May 31 last year to May 31 this year. And obviously, it kind of grew, as you know 23%, so that's a -- that just kind of gives you a relevant range. If we enjoyed the same kind of growth, it would probably involve adding the same number of people.
Ted W. Owen: We've, I think, continued to develop our capabilities to identify and utilize kind of contract or project turnaround personnel to augment our full-time staff and that was a significant additional capability this year. But we've probably increased our use of contract personnel. It's still a small part of our total, maybe in the 10% range. But it probably increased 50% this year.
Richard Wesolowski - Sidoti & Company, LLC: Even being a maintenance organization, I've always thought that your business in Western Canada is more oil-price dependent than that elsewhere. Would you discuss whether there was any loss in momentum when oil went from 105 to below 80 over the early summer?
Ted W. Owen: No. I'd challenge that a little bit. I think new projects might be tied to that. But I will tell you most of our business or a very significant portion of our business in the Fort McMurray area now is maintenance on existing facility not the construction of new facilities.
Richard Wesolowski - Sidoti & Company, LLC: Has the company seen any new customers in the oil sands area climb up the ranks over the last year or 2, or is your business coming from the familiar names that you've been serving for the past few years?
Philip J. Hawk: I can't -- I'm not familiar enough with all the specifics to answer that. I do believe we're trying to call on everybody and expand our presence. But I don't have a specific and existing...
Ted W. Owen: Yes, I mean without talking specifically about individual customers, I can clearly tell you that our roster of significant customers in Canada is expanding. We have added some very significant new customers over the last year.
Richard Wesolowski - Sidoti & Company, LLC: And then last one, we discussed a lot of momentum in your business, and rightfully so, but so you also touched on the global economic uncertainty. Would you mind discussing why you would expect Team to outperform the results of fiscal '09, fiscal '10 if customers again retrenched their outsource maintenance spending in response to any global economic shark?
Philip J. Hawk: Well, I guess that the premise is that you think what an uncertainty would lead to an environment like fiscal '09. I guess that wouldn't be in my belief. We didn't have just a slowdown, what we had is a complete challenge of business as usual, and would life, as we know it, continue, was severe. First, credit crisis but then kind of demand evaporation in our industry which was unprecedented in fiscal year '09. So if we have a replay of that environment, I would say all bets are off about what our performance in the short period will be. What I expect to be a more normal environment because it has, again, if you're running these plants, there has to be maintenance done on them. And I personally think, without being overly confident about it, I think we're a pretty good service company. And that we're -- we've proven it with our record and we're going to earn our fair share and I think growing share of the opportunities out there.
Ted W. Owen: Let me just tag on to that just a bit, Rich. I think one thing is -- that is clearly different about our business today versus let's say 2007 going into the great recession, if you will. At that time, about 15% of our total revenues were associated with new construction activities, so kind of a C&E market as opposed to the maintenance market, largely associated with oil sand activities, as we've discussed at that time, it was -- what we were doing in the oil sands were associated with building new projects. Today, on order of magnitude, probably less than 1/2 of that amount in construction-related activity is indicative of our business. We're now more -- our business is more broad-based today. It's not as refinery dependent or for instance as it would have been 5 years ago. And certainly, as Phil mentioned, our oil sands-related activity is not new construction-related projects which are kind of the first thing to stop in a major downturn, but rather the maintenance of existing facilities.
Operator: And your next audio question comes from the line of Arnold Ursaner, CJS Equities.
Arnold Ursaner - CJS Securities, Inc.: As a natural follow-up to Rich's last question, there's a lot of funds from BP that will be working their way into the Gulf Coast region. Do you see that creating incremental opportunities for you?
Ted W. Owen: Just marginal. Again, I believe the BP activity -- and I've just -- just based on kind of casual reading is really upstream E&P work that are going to go into the Gulf of Mexico, I believe, deepwater drilling. We will do a tiny little bit of work with subsea kind of pipeline work and some platform work, but it's a very small part of our total business.
Arnold Ursaner - CJS Securities, Inc.: Okay. Two follow-up questions regarding your acquisitions. You mentioned $16 million of annual revenue which is the same number you gave us on the Q3 call. How are -- are those businesses seeing growth? And then I'll ask a follow-up from that.
Philip J. Hawk: Yes is the short answer. But again what we're getting for the full year effect, you'll recall that the Quest acquisition, let me get the right year, November of 2010, so it was only 1/2 year, roughly half year effect in the last fiscal year, we had a full year effect this year. So that was a significant portion. There was a significant portion of that effect impact in the year. And then we had a, essentially a half year effect from the EA West Coast mechanical services acquisition and then the small pipeline integrity management company which is really quite small. Those were both around the midyear of this year, so we had a, if you will 1/2 year effect of those 2 businesses. Those -- that's what comprised the $16 million of impact.
Ted W. Owen: Arnie, just to tag on to that a little bit, the reason our number didn't change a lot from quarter to the year is particularly the smaller -- well, specifically the small acquisitions that we did this year have been fully integrated into Team operations and so on, so a little bit difficult to pull out well, how much of the revenue in the West Coast operations of businesses acquired are attributable to the acquisition, and how much is attributable to the ongoing operations, because it's all now integrated into our existing operations.
Arnold Ursaner - CJS Securities, Inc.: I think that's what I was trying to head. When you had bought the pipeline integrity management business, which was small, you had talked about the strategic importance that you would be able to bundle other services and cross sell and that's what I was trying to get a feel for. Now, that we're 6 months into this or so, are we in fact getting the revenue synergies that you are hoping to get?
Philip J. Hawk: Yes. Again it's very early, but we're excited about the progress there, the level of activity in that space.
Arnold Ursaner - CJS Securities, Inc.: Okay. A final question for me. You clearly indicated you're not going to move forward with the $25 million or so expenditure for the new facility, but rather $5 million. Does that affect your view of either returning cash to shareholders through repurchase, potential acquisitions? How should we think about your availability of the incremental cash and how you might use it since you're underlevered for you at the moment?
Philip J. Hawk: I think it has no effect, to be honest. We're just trying to be prudent stewards of capital. And less capital intensive solutions that have virtually the same benefit are better. And that's how -- kind of how we thought about that. I think the -- honestly, we'll use our proceeds to pay down debt and support the growth of the business and to acquire companies that fit us and, as back to our kind of whole philosophy, is that if they can accelerate our growth and development in exciting ways, we're interested in that. We don't perceive -- I don't perceive us to be limited by capital, in terms of doing anything within our business.
Ted W. Owen: The kind of the main point for us, relative to not investing $25 million in facilities is simply that the, a little bit of an aha moment for us, it's that, that we would much prefer to invest that kind of a capital, $25 million, in businesses or back in our business as opposed to facilities.
Operator: And your next audio question comes from the line of Adam Thalhimer, BB&T.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: I just have 1 kind of more granular modeling question. The last 2 years, your fiscal third quarter has been a lot lighter than fiscal Q1. I mean, looking forward, do those 2 quarters look a little bit more similar or was it just kind of bad luck the last couple of years as it relates to Q3?
Philip J. Hawk: No. I think you have -- things are always a little bit choppy. But here's kind of my view of it is the first quarter has the disadvantage of much lower turnaround activity than either the second or the fourth quarter. So that's just -- we have a kind of huge infrastructure, so that, if you will, the incremental leverage, the negative leverage of that lower volumes lead to lower [indiscernible] difficulty in the first quarter versus second or fourth. The third quarter has additional disadvantage, in addition to the lower turnaround of the holidays. So you have 2 -- you essentially have 2 weeks of activity in a 13-week quarter that are -- we have expenses, but we don't really have much business. And I think again the volume leverage of just that extra 2 weeks of expenses with no revenues lead to kind of when you kind of incrementally do it leads to what looks like low average margins and all that, even if job margins are good. And I think then you saw that...
Ted W. Owen: [indiscernible] more kind of a resetting of a lot of the real benefit cost in early -- in January that third quarter as well. The third quarter is going to be weaker than the first quarter but we have finally figured that out.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. You would just say to us analysts just tread very lightly as it relates to Q3. I mean, it's been -- Q3 has been disappointing for 2 years in a row and I guess now it's just noted to bake that in?
Philip J. Hawk: Disappointing to whom, Adam?
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Disappointing to the analysts.
Operator: And there are no further questions waiting. I would now like to turn the call over to Mr. Phil Hawk for closing remarks. Thank you.
Philip J. Hawk: Thank you, Sue. And I want to just close by thanking all of you for your participation in this call and your continuing interest in Team. We look forward to updating you on our progress during this first quarter of our new fiscal year, around the 1st of October. In the meantime, everyone, have a good day.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. And have a good day.